Operator: Good afternoon, everyone, and welcome to Snap Inc.'s Fourth Quarter 2022 Earnings Conference Call. At this time, participants are in a listen-only mode. I would now like to turn the call over to David Ometer, Head of Investor Relations.
David Ometer: Thank you, and good afternoon, everyone. Welcome to Snap's fourth quarter 2022 earnings conference call. With us today are Evan Spiegel, Chief Executive Officer and Co-Founder; Jerry Hunter, Chief Operating Officer; and Derek Andersen, Chief Financial Officer. Please refer to our Investor Relations website at investor.snap.com to find today's press release, slides, investor letter and investor presentation. This conference call includes forward-looking statements, which are based on our assumptions as of today. Actual results may differ materially from those expressed in these forward-looking statements, and we make no obligation to update our disclosures. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued today as well as risks described in our most recent Form 10-Q, particularly in the section titled Risk Factors. Today's call will include both, GAAP and non-GAAP measures. Reconciliations between the two can be found in today's press release. Please note that when we discuss all of our expense figures, it will exclude stock-based compensation and related payroll taxes as well as depreciation and amortization and nonrecurring charges. Please refer to our filings with the SEC to understand how we calculate any of the metrics discussed on today's call. With that, I'd like to turn the call over to Evan.
Evan Spiegel: Hi, everyone, and thank you all for joining us. 2022 was a challenging year for our business as we continue to be impacted by macroeconomic headwinds, platform policy changes and increased competition. We've taken action to refocus our investments to support our three strategic priorities of growing our community and deepening their engagement with our products, accelerating and diversifying our revenue growth and investing in the future of augmented reality. We are focused on the most important inputs that we can control, delivering engaging experiences to Snapchatters and improving business outcomes for our advertising partners. We continue to drive strong growth in our community, ending the year at 375 million daily active users in Q4, an increase of 17% year-over-year. Our team continues to innovate rapidly in ways that support the growth of our community. For example, in Q4, we released communities to expand our content offering on-boarded several new media partners, double down on our progress with spotlight and launch new Snapchat Plus features each of which helps drive engagement across our service. For the full year, we generated $4.6 billion of revenue up 12% year-over-year and generated $1.3 billion in the quarter or flat year-over-year, reflecting the rapid deceleration in digital advertising growth. Direct response advertising is a critical way that many companies grow their businesses, as it is one of the most performant and measurable forms of advertising. We have made progress updating and improving our ad platform over the past year across three key areas, investing in observability and measurement, improving engagement and conversion quality, and increasing the volume of high-quality engagements and conversions. In the very near term, it will take time for these improvements to translate into improved top-line growth. Over the long term, we believe that delivering higher return on advertising spend and utilizing our inventory more efficiently are critical inputs to gaining share of wallet accelerating revenue growth and realizing the full ARPU potential of our business. We believe that the camera represents our greatest opportunity to improve the way people live and communicate. Over the last decade, we have made significant advances to our AR software and hardware that have enabled the growth of the sophisticated AR platform that we have today. Over 250 million Snapchatters engage with augmented reality every day on average, and we are investing rapidly and thoughtfully in the future of AR to further expand our leadership position. We continued our path to sustainable profitability by generating $378 million of adjusted EBITDA in 2022 achieving our third consecutive year of positive adjusted EBITDA. We also generated $55 million of free cash flow in 2022, achieving our second consecutive year of positive free cash flow. 2022 brought significant challenges for our business and we have emerged with a highly engaged and growing community, a more focused team and cost structure a clear path to delivering sustained adjusted EBITDA profitability and positive free cash flow and a strong balance sheet with $3.9 billion in cash and marketable securities. We begin 2023 focused on executing against our three strategic priorities of growing our community and deepening their engagement with our products, accelerating and diversifying our revenue growth and investing in the future of augmented reality. We look forward to sharing more about our progress and plans at our upcoming Investors Day on February 16, at our offices in Santa Monica. Thank you. And with that, we will begin our Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Justin Post with Bank of America.
Justin Post: Great, thank you for taking my question. Clearly, it's a tough environment for the digital economy overall. Can you talk about one of the some of the bigger first quarter revenue headwinds from Snap from a macro perspective? And then, can you go into the monetization changes that you're making in the quarter that could have a positive longer impact on the model? Thank you.
Evan Spiegel: Thanks, Justin. Hey, its Evan. From our recent conversations with our partners, it seems like advertising demand hasn't really improved, but it hasn't gotten significantly worse, either. I mean, obviously, the brand spend is significantly reduced, like we saw in the quarter, but our direct response business continued to grow in Q4. And in general, it seems like our partners are just managing their spend very cautiously so that they can react quickly to any changes in the environment. I think as we look at Q1, the most significant impact thus far have really been the changes we're making to our ad platform. Maybe just like taking a step back here. It's really been on a journey re-architecting our ad platform. We shared a lot over the last year about our improvements to observability and measurability of conversions, things like our conversions API, or data cleanrooms, and multi-party computation, of course, our pixel implementation for e-commerce advertisers. I think we have made good progress there, conversion API adoption continues to grow nicely. And the majority of our revenue is now measured using signals from conversions API, pixel integration scan, or MMPs. And so a lot of what we've been doing is taking this improved measurability and using it to improve the value of those conversions. And so some of the things we've shipped recently in Q1 at the beginning of the quarter are big changes to our in app UI, which we believe will help improve consideration because it aligns the ad UI with the more organic content experience. We've done a lot of work to improve our in-app Web View performance, which we believe can help contribute to improved conversions on the platform. We've updated our user ID graph, which helps improve attribution as well. And some of the early results are promising. So for example, pixel advertisers utilizing one-zero attribution. For them clicks are 40% more likely to result in a conversion. We're also seeing stuff like higher dwell times, higher non-bounce rates, and higher third-party match rate. So overall, obviously, the results are early, but we're excited about these changes we are making. And then, what we're doing is, we're taking our machine learning models, and we're training them on these higher value conversions, which will hopefully help us scale the overall number of those conversions over time. But the net-net, the impact in the short-term is really, that advertisers are experiencing these higher value conversions, but there are fewer of them as our models retrain, and hopefully, as we progress through the quarter, we can improve and increase that volume overall. And obviously, in addition to larger advertisers, these changes really benefits smaller advertisers who are much more reliant on last click conversions for measurement, maybe because they haven't implemented our conversions API, or don't have a data cleanroom, for example. So, this I think, of course, is a near-term headwind to the business, but we're very excited about the long-term potential of these changes, and we're working really hard on it.
Operator: Thank you. The next question comes from Mark Shmulik with Alliance Bernstein.
Mark Shmulik: Yes, thanks for taking the question. So it looks like time spent on content globally was off, I think led by –
Operator: My apologies, Mark has dropped. The next question comes from Ross Sandler with Barclays. Please proceed.
Ross Sandler: Hey. I've got a high-level technology question. You guys have been stating forever that you're a camera company. And we've seen an explosion in these new generative AI tools. How do you see those impacting your business? We have examples of Midjourney inside of Discord driving up engagement for them. Do you see the same kind of opportunity inside of Snap? Or do you view this as possibly a risk if people are going to the camera less? How do you see this impacting Snap over the next like, five years? Thanks a lot.
Evan Spiegel: Thanks, Ross. We're so excited about the opportunity around generative AI, it's a huge opportunity for us. And we're already investing a ton. A lot of our most sophisticated AR lenses use generative AI technology. And we also see a lot of opportunities just to make our camera more powerful with generative AI. I mean, some simple examples are like improving the resolution and clarity of a Snap after you capture it, or even much more extreme transformations or editing images or Snaps based on a text input. But, if we think longer term, five years, as you mentioned, this is going to be critical to the growth of augmented reality. So, today, if you look at AR, there's just a real limitation on what you can build an AR, because there's a limited number of 3D models that have been created by artists. And we can use generative AI to help build more of these 3D models very quickly, which can really unlock the full potential of AR and help people make their imagination real in the world. You can imagine playing around with your kids wearing AR glasses and pointing. “oh my gosh, there's a pirate ship and a big monster.” And we can bring those to life using generative art, which I think is really exciting. And then, of course, we're also thinking about how to integrate those tools into Lens Studio. We saw a lot of success, integrating Snap ML tools into Lens Studio. And it's really enabled creators to build some incredible things. We now have 300,000 craters who built more than 3 million lenses in Lens Studio. So the democratization of these tools, I think, will also be very powerful.
Operator: Thank you. The next question is from Richard Greenfield with LightShed Partners.
Richard Greenfield: Hi. Thanks for taking the questions. One, I guess I want to just follow back on the initial topic of this, DR was up 4% in Q4, which is actually a pretty encouraging number. But it sounds like you're talking about in Q1 based on your guidance. The changes you're making are going to drive that DR to go from, up forward to down something. Can you just help us better understand, as a DR flywheel and your investment start to kick in, why is it not driving sort of accelerated spend? Why is it actually hurting? I know you've heard a little bit about in the letter, but I think there's a lot of confusion of sort of why that inflection to the negative in DR as your sort of investing to improve it. And then, just on engagement, you made a comment that global time spent was up on content. Was that true in the U.S.? Or was that more of a global comment? And then on friends' stories, you said it was down in Q4? Is that TikTok reels, Shorts, just any color on what's driving sort of the pressure on friends' stories in Q4 would be great.
Evan Spiegel: Hey, thanks, Rich. There's a lot in there. So let me see if I can get to all of that. I think, at a high level on the DR business, as I mentioned, the key here is that we're really improving the overall value of those conversions. But, as a result of volume of those conversions has decreased as our models relearn on the conversions that were driving, and hopefully, obviously we can expand that volume over time. But it's also requiring advertisers to adapt, for example, so they need to see that increased volume show up, excuse me, that increased value show up in their third party measurement tools, for example. And then, go in and increase their bids to reflect that increased value. And so overall, that sort of disruption, and again, when you layer in, of course, the changes to the app UI, and even things like our sales reorg channel redesign this quarter, it's a lot all at once. But frankly, we'd rather rip the band aid. And so, we waited to release a lot of these changes. In q1, I know Jerry has been eager to make a lot of these changes. But we know that that Q4 is critically important for our advertising partners, it's just vital to their businesses. And so we held a lot of those changes to Q1, and we're making them all at once. So they're disruptive, but I think the really exciting thing is that, it is having the intended impact in terms of value to advertisers. And frankly, the expected impact in terms of the disruption to our business. So, we're going to continue to work through it but again, the improvements we're seeing in terms of third-party match rates, dwell time, non-bounce rates that's all really exciting. I think an overall an input to improving return on advertising spend for our advertising partners. And then, I think I said about content time spent so I'd say overall content viewers continue to grow content products, including Spotlight, friends' stories, creator stories, partner content. That's true in the U.S. as well where our content viewership is growing, and globally overall, time spent watching content on the platform continues to grow. But time spent watching friends' stories does continue to be a headwind to total time spent. So if you think about our investments here and what we're doing to re-accelerate time spent with content, the most important thing is really increasing Spotlight viewership and engagement. We think we've got a lot of headroom here. We're excited about the 100% year-over-year growth on time spent and 30% year-over-year growth in Spotlight MAU. We're also continuing to invest in new creator tools and growing our creator ecosystem to increase creator content supply and diversity. That was definitely a bright spot in the U.S. where time spent watching creator stories grew 10%, year-over-year in Q4. And then, we're making a lot of product improvements and innovations around friends' stories, including things like community stories, which we think are really valuable to our community. And then, lastly, obviously onboarding new media partners who are driving significant viewership and time spent as we shared in the letter. I do think short video competition is going to continue to be very intense. Our community loves watching entertaining short videos. So what we're really trying to do here is just play to our strengths around our camera and messaging. We benefit from the enormous amount of video creation happening on our platform. Over 5 billion Snaps created every day, and this network of close friends who really enjoy sharing videos across our platform. So I think we'll continue to play to our strengths there. It's part of what's contributing to the great growth we're seeing, in spotlight.
Operator: Thank you. The next question is from Brian Nowak with Morgan Stanley.
Brian Nowak: Thanks for taking my questions. Just to kind of go back to the ad disruption in the near-term kind of laid out on Page nine. I guess one of the questions I have maybe I'm just not really understanding it, is the way to think about this, the value of the advertisers is going up, because in the near-term, you're sort of increasing the effective ad load. So we should think about platform wide pricing going down in the near-term. Is that right? Or am I sort of off there, is the first one. Then the second thing, one of the important aspects of driving direct response business and sort of data capture and being able to build cohorts of users? Can you just talk to us about some of the data capture that you already have and how you think about the potential to sort of cohort these users to drive a large DR business? Thanks.
Derek Andersen: Hey, Brian. It's Derek speaking. I'll take the first one. Just in terms of what we're seeing in terms of inventory and the experience there, what you're effectively seeing is we've had some growth of impressions just as we've invested in the creator stories product in particular, that's been very popular, both from posting, and from an engagement perspective. And you've seen that contribute, sounds fairly an ad load is driven by positive engagement with their product. And then in terms of, what we're seeing in sort of the overall ecosystem of the auction, what we're doing here is using our inventory significantly more efficiently. And so that has the effect of actually returning impressions back into the auction, which have to be absorbed across other GDBs. And sort of puts downward pressure, all else being equal on the contestation and the auction. And so, obviously, that increases the opportunity for ROAs and return for advertisers. And all else being equal, we're seeing that do is translate into lower CPMs in the short-term. But the improvements that we're making to the DR platform and translating into longer dwell times, lower bounce rates, and some of the metrics that have been shared with you. Short earlier, really are improving the value of the auctions we're driving. And so that is more performative for the advertisers. So in the very near-term, this disruption comes through with the pressure on the supply and the disruption to the volumes that are being driven, but the value is clearly higher. And we can see that already coming through. So hopefully, that gives you a little bit more context on what's happening in the sort of supply demand environment there. I'll turn it over to Jerry, for the second part of your question.
Jerry Hunter: Yes. Thanks, Derek. Brian, thanks for the question. Let me just give you a little about how we think about this data. So we have a bunch of ways that we're collecting data. So conversion API, pixel, data cleanrooms. It's like Evan talked about earlier, multi-party computation, scan and MMP. And all of these signals feed into our system and give us a better view of what's happening with customers and conversions. Add to that the changes that we made to the Web View and to the ad format, so we get better signal about how our customers are interacting with our product. These all come together to train our ML. And that gives us better targeting over time. So the way we think about this is sort of a circle where there's constantly information that's coming in. We make changes in each of these products, as well as making changes -- customers make changes to their campaigns, and then we make changes to the ad format, we feed it into the ML and this sort of circle gives us better and better targeting over time, which we think still leads to better CPMs across the board and better ROAs for our customers.
Operator: Thank you. The next question comes from Mark Mahaney with Evercore.
Mark Mahaney: Okay, thanks. I think I just asked one question on the monetization of Spotlight. It's something that's gone back and forth on for a while now. What's the -- I don't want to see, what's the holdup in monetizing spotlight, but I do kind of want to ask that, like -- what are the factors that you're looking for, that allow you to be a little bit more aggressive in monetizing what's clearly a really strong growth asset for you? I know you don't want to under undermine the user experience, but when do you make that on-off decision or that full on decision? Thank you.
Derek Andersen: Hey, Mark. This is Derek speaking. I can take that question for you. I think for context, just to start, and I hinted at this a little earlier in the prior question. We definitely believe that we are demand constrained and not supply constrained at the moment. And just sort of put a finer point on that, we saw 8% impression growth in the most recent quarter, and that translated into a 9% decline in eCPM. So clearly, demand is the sort of lacking portion of things there. And obviously, that's why so much focus is on improvement in the DR business so that we can utilize our inventory and monetize it, take share. I think we're pleased with what we're seeing also in the growth and supply already. The investments that we made in creator stories in the most recent quarter translated into really solid volumes on posting and that translated into really good engagement. And so that's driven from impression growth in the most recent quarter that we're really pleased about. In terms of Spotlight, though, to answer your question, specifically, we did share last quarter that we would be expanding the testing of Spotlight monetization. And we did do that in Q4 and we're pleased with what we saw. It remains really early in that testing. But in the testing, we've seen thus far, the yield we're getting on ad served in the Spotlight is equal to and in some cases, higher than the yield we're realizing currently for similar ads elsewhere in the app. So again, this is really early. But that's very encouraging data in terms of what it means for our optimism about the potential for Spotlight to become a really meaningful portion of our overall content business in the future. So we're going to continue to advance our testing on Spotlight in the months ahead and continue to optimize the ad experience for both our community and advertising partners. But as I said earlier, given we are demand constrained, the urgency to ramp up monetization, there is limited and focusing on the advertiser and the customer experience is the most important thing in the very near-term.
Operator: Thank you. The next question is from Eric Sheridan with Goldman Sachs.
Eric Sheridan: Thanks so much for taking the question. Maybe if I can pivot to the cost side of the equation and just try to tie a few loose ends together. So it sounds like Evan earlier said, there's obviously some key areas to invest in, that will act as a headwind to margins, even as you exit '22 and go into '23. You've obviously done a cost cutting initiative coming out of '22. And then, there's elements of the business would improve on the back of the DR initiatives, as we move through 2023. Can we get a little more granular on some of the headwinds versus the tail winds and the cost structure and tying it back to how we should be thinking about leverage in the business when you think about your investment cadence versus sort of implementation of the cost cutting initiative, and then an improved revenue profile was removed through 23? Thanks so much.
Derek Andersen: Hey, Eric. It’s Derek speaking. I can take that one. I think to start off, when we approach the reprioritization, that we announced near the end of Q3, where we shared that we were going to be removing $500 million from the cash cost structure. I think it's important to just understand that we were very thoughtful in our approach about that, because we really wanted to achieve two goals. One is, we wanted to make sure that we were clearly building a path to adjusted EBITDA profitability and positive free cash flow, even at lower growth rates. But we also wanted to make sure that each of our three strategic priorities were fully funded. So that we were fully funding the efforts to continue to grow our community and deepen engagement, the work that we're doing to improve our DR platform in order to accelerate revenue growth, as well as the efforts around diversifying our revenue growth just see with Snapchat plus. And then also, of course, being able to continue to invest in the long-term AR business. And so what you can see as we've been able to make sure that we have a cost structure that fully funds those three priorities, but we're still on track to deliver all of the $500 million in cost reduction. So the first 50 million there is coming out of fixed content reductions. And you should see that fully reflected in the fixed component of the content costs in Q1. And similarly, on the cash operating cost structure, the objective there was to remove $450 million. And we were continuing to wind down various operations through the course of Q4. So you'll see the full benefit of that cost reduction again, in Q1, just as we anticipated. For example, our actual headcount numbers are -- at the end of the current quarter are down 20%, from the peak in Q2. So it gives you a sense of the progress we've made and managing down the cost structure and getting ourselves to the prioritized cost structure. So then going forward, first, it's like, we remain long-term oriented when we're thinking about the investments in the business. So there are going to be things that are incredibly compelling for us to invest in, in the business. And for example, we just made the investment in creator stories, obviously, a very compelling investment, immediately resulting in an 8% increase in inventory. So there are going to be investments like that along the way that are incredibly compelling. What we have to do is remain one very disciplined on the aggregate cost structure, and very focused on prioritizing our investments to make sure that we maintain that path to adjusted EBITDA profitability and consistent free cash flow generation. It's now our third consecutive year of adjusted EBITDA profitability, second consecutive year of positive free cash flow. And that's important to controlling, our financial destiny going forward and making sure that we can fund the investments in the future of our business. And also making sure that we have the cash and cash flow to manage any dilution that we experience in the business. But you see, we've been active in doing. So hopefully, that gives you a sense of like, where we are on the reprioritization of the cost structure and funding our priorities, but also how we're thinking about balancing that discipline going forward.
Operator: Thank you. Our next question is from Lloyd Walmsley with UBS.
Lloyd Walmsley: Thanks. Two, if I can. First, you've talked a lot about the headwinds to time spent in friends' stories, but can you just talk about what you're seeing in the core chat experiences? Are you seeing growth in whether it's time per user, visits per day per user in that core kind of anchor engagement that feeds the whole business? And then, the second one was just in the letter, you mentioned, discover content, moving into more places? Curious if you expect this to be more of a driver of engagement or monetization, or both? Have you started doing anything that you can kind of share early learnings with us here. Thanks.
Evan Spiegel: Thanks, Lloyd for the question. Yes, we're incredibly excited about the momentum we're seeing around our messaging service, visual messaging is really core to the Snapchat experience, and what helps people connect with their friends and family, and of course, enhances their relationships. So we're really excited about that momentum there. And of course, the work that we're doing in our camera, around augmented reality and helping our community express themselves with AR lenses and try and get new utility out of augmented reality with things like try on as well. So those core experiences around the camera and messaging are obviously really exciting driving a lot of growth for us. And also things like the map, for example, as we mentioned, I believe in the letter, Q4 Snapchatters open places on the map more than twice as often as they did in Q4 of 2021. So, definitely a lot of strong growth engagement around the core product value of messaging and we're really optimistic about some of the new products we have come in around that as well.
Operator: Thank you. Our last question comes from Doug Anmuth with JPMorgan.
Doug Anmuth: Thanks for taking the questions. I have two. First just to circle back on friends' stories and the strategy there. It sounds like part of the goal here is to get people to shift into Spotlight more? Is the idea to shift them into that tab in particular or to put Spotlight videos within friends' stories? And then can you also just talk about how revenue sharing with creators will work on Spotlight? Thanks.
Evan Spiegel: Yes, sure. So at a high level, what we're seeing with friends' stories is that people still really want to watch stories from their close friends and their family. It's more the longer tail of their friends where they prefer to watch a really entertaining video than maybe a story about somebody's day-to-day life. And so that's really where we're trying to understand where that sort of breakpoint is for different members of our community and help them discover Spotlight content sort of at that moment as they start to become less engaged with friends' stories. So some of that, for example, is creating entry points even in Discover, right, so that people can tap directly into Spotlight content from that four-tab content experience. And in addition, we're also helping drive folks to the Spotlight tab itself, especially. For example, if one of the creators they are following has posted a new Spotlight video, we can let folks know and bring them into spotlight that way. So that's, I think, kind of how we're thinking about driving more top of funnel to Spotlight at least in the near-term. As it pertains to revenue share with creators, we do a small amount of sort of content seating, for example, with sort of contests and things like that around Spotlight, but we have not yet rolled out sort of a large-scale revenue share. In fact, what we're seeing a lot of creators do is use Spotlight to get distribution for their stories, so to become discovered in Spotlight, drive people to subscribe to their creator stories where we then do revenue share with them. And that is actually, I think, quite beneficial both to our business and creators because that subscription model, it provides much more stable revenue for the creators. And I think that's something that they really value compared to Spotlight, which is a bit more hit driven. So if they've got a great hit video, they can use that to drive people to their story and then monetize that more durably over time and build that relationship with their audience.
Operator: Thank you. This concludes our question-and-answer session as well as Snap Inc.'s fourth quarter 2022 earnings conference call. Thank you for attending today's session. You may now disconnect.